Operator: Good day everyone and welcome to the IDT Corporation's First Quarter Fiscal Year 2018 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-months period ended October 31, 2017. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Senior Vice President, Finance and Chief Financial Officer of IDT Telecom will join Mr. Jonas for a Q&A. [Operator Instructions] Any forward-looking statements made during this conference call, either in their prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may take, or to update the factors that may cause actual results to differ materially from those that they have forecast. In their presentation, or in the Q&A that will follow, IDT's management may make reference to the non-GAAP measures, adjusted EBITDA, non-GAAP net income, and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation website and that’s www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. I would now like to turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, operator. Welcome to IDT's first quarter fiscal year 2018 earnings call for the three-months ended October 31, 2017. I’ll begin by pointing out a couple of adjustments to our reporting methodology that we made this quarter. They are intended to align our reporting more closely with the way we think about and manage IDT Telecom. First, we changed the name of our Unified Communications as a Service segment to net2phone UCaaS. The change reflects the fact that revenues for this segment are all generated by our net2phone division. We also folded our legacy consumer phone services segment, which we expect to generate less than $2 million in revenues this year into our TPS segment. With this change, the TPS and net2phone UCaaS segments now compromise IDT Telecom. The rest of my remarks this quarter will cover operational developments, for a discussion of the first quarters financial results please read our earnings release issued earlier this afternoon, and our Form 10-Q, which we expect to file with the SEC on or about Monday, December 11. We made good progress on the spin-off of Raphael Holdings since our last call. Raphael has filed a registration statement with the SEC that includes a preliminary information statement for the spin-off, and we expect to conclude the separation and distribution to our shareholders in the first quarter of calendar 2018. The spin-off will more tightly focus IDT on communications and payment services and we have begun the planning to streamline our corporate structure and operations to functions more efficiently and effectively post spin. As part of this effort, Bill Pereira will become the Chief Operating Officer of IDT Corporation and will work on ensuring that we execute on streamlining our operations to operate more efficiently and effectively, while maintaining momentum in our growth initiatives. Also in the first quarter of the next calendar year, we hope to finalize the sale of our Gibraltar based banking business. We previously announced the terms of the sale and are awaiting approval by the Gibraltar Financial Services Commission. Our growth initiatives all met or exceeded our expectations for the quarter. BOSS Revolution money transfer, and particularly transactions initiated online or through the BOSS Money app, as well as net2phone's cloud communications offerings and our National Retail Solutions POS network are growing rapidly. Subsequent to the quarter close, we formally launched our BOSS Revolution Mobile offering, and are in the process of rolling out this new wireless service to our retail partners nationwide. Finally, IDT's Board of Directors declared a dividend of $0.19 per share for the first quarter, no change from the prior quarter. That concludes my remarks. Now, Marcelo and I will be happy to take your questions. Operator, back to you for Q&A.
Operator: